Operator: Good morning. My name is Nadia, and I will be your conference operator today. At this time, I would like to welcome everyone to the AutoNation Third Quarter 2022 Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Derek Fiebig, Vice President of Investor Relations. You may begin your conference.
Derek Fiebig: Thank you, Nadia, and good morning, everyone. I'd like to welcome you to AutoNation's Third Quarter '22 Conference Call and Webcast. [Operator Instructions] Leading our call today will be Mike Manley, our Chief Executive Officer; and Joe Lower, our Chief Financial Officer. Following their remarks, we will open up the call for questions. We will be available by phone after the call to address any additional questions you may have.  Before beginning, let me read a brief statement regarding our forward-looking comments. Certain comments and information on this call, including any statements regarding our anticipated financial results and objectives constitute forward-looking statements within the meaning of the Federal Private Securities Litigation Reform Act of 1995. Such forward-looking statements involve known and unknown risks that may cause our actual results or performance to differ materially from such forward-looking statements.  Additional discussions or factors that could cause our actual results to differ materially are contained in our press release issued earlier today and in our filings with the SEC, including our most recent filings on the report Form 10-K and subsequent quarterly reports on Form 10-Q and current reports on Form 8-K. With that, I'll turn the call over to Mike.
Mike Manley: Yeah. Thanks, Derek. Well, good morning, everybody, and thank you for joining us. Today, we're reporting record third quarter results for the group delivering an operating income of $523 million, which is an increase of 4%. Revenue for the quarter was $6.7 billion, an increase of 4% as well, driven by higher average selling prices of new and used vehicles, continued consistent growth in our After-Sales and our Customer Financial Services, which more than offset lower sales of new and used vehicles.  New vehicle demand remained strong in the quarter, and although we ended September with slightly higher inventory levels as a result of increased year-over-year shipments, new vehicle inventory continues to be a constraint, and we still remain at historically low days of supply. New vehicle margin in the quarter was up $450 per unit year-over-year, but down sequentially driven in the main by mix rather than significant pricing actions.  Used vehicle margins were down year-over-year, which, frankly, was to be expected because as you'll recall, last year, we were in the highly unusual situation of appreciating used vehicle values. And today and through the quarter, used wholesale dynamics have largely returned to a more normalized pattern of depreciation. Used vehicle margin, however, continues to be above the low point of Q1.  Used vehicle inventory in the group is being appropriately managed, I think, with quarter-end day supply of just about 30 days. Mix, however, remains a key focus for us as we continue to see availability issues in the sub-$20,000 price band, where inventory levels year-over-year are approximately 25% lower, which, as a result, despite continued strong demand in this part of the segment, I think, is restricting overall used vehicle volumes. Notwithstanding that, I believe sourcing of used vehicle inventory remains a considerable strength within the group. Self-sourcing over 90% of used inventory from trading, We Buy Your Car activities and other controlled sources there. Other highlights in the quarter include our continued success and growth in CFS, our Customer Financial Services provision, which includes warranties, maintenance contracts and vehicle protection plans in addition to traditional vehicle finance.  Our disciplined approach resulted in a per unit income of $2,755, which was up 7% year-over-year. I think this remains an exciting growth opportunity for the group, particularly as we completed as anticipated, our acquisition of CIG Financial on October 1. We've already started the integration process and successfully launched group financial services in our AutoNation USA stores. Obviously, more to come on this topic. But again, I'd just like to quickly welcome all of our new colleagues from CIG. After-Sales remains a key focus for us and we achieved a year-over-year gross profit growth in this area of 13%, and we're now showing consistent gains in After-Sales, and strongly believe that there is much more to come. This remains a significant area for incremental revenue and margin, which has the potential to help offset new vehicle margin declines should that happen and obviously help buffer the group from some of the inevitable cyclicality the industry will face should we see a recession. Moving on to costs. So you'll see they remain well under control. And once again, we posted SG& A results at under 60% of gross profit. It's clear, we are and will continue to face inflationary pressure, but we remain committed to maintaining the discipline in the group as shown in this area and to continue to find operational efficiencies and eliminate waste. AN USA continued its expansion with the opening of it's twelfth AutoNation USA store in Kennesaw, Georgia. And although we are seeing some delays in our launch schedule as a result of challenging construction market, we have a significant number of projects underway in our pipeline. Now from a capital allocation perspective, in addition to completing the acquisition of CIG Capital, as I previously mentioned, we repurchased 3.8 million shares in the quarter. But year-to-date, through October 25, that means we've repurchased 13.6 million shares of common stock or 22% of shares outstanding at the beginning of the year. We also requested and received Board approval for authorization to repurchase up to an additional $1 billion of AutoNation common stock. In other M&A activity during the quarter, we signed a new agreement, obviously, subject to normal terms, to acquire four dealerships representing nine franchises from the Moreland Auto Group in Colorado, which will further strengthen our position in this important market. And finally, we posted a record EPS of $6.31, an increase of 23% compared to the third quarter '21. Our embedded structural improvements in our performance, such as After-Sales growth and cost discipline, I think, create the opportunity to focus on the lifetime value of our customers, and expanding and delivering solutions that enhance the customer experience.  Just an example, over 50% of our unit sales originated on our digital channels for the quarter. And I think we've built and have continued to build a compelling customer value proposition through the combination of our digital tools and our physical assets. I think that's critical. It's really the combination of both of those things. We leveraged AutoNation Express, our integrated digital solution, which is powered by 11 million real-time customer insights and we've created a personalized experience for our customers, and I think you will hear much more to come on this in the future. With significant cash flow generation and a healthy balance sheet, we're committed to be prudent with our capital and deploy to enhance shareholder returns while further positioning the company for the long-term sustained profitability that we expect. And with that, Joe, I'm going to hand it over to you. Please take everyone through the details.
Joe Lower: Thank you, Mike, and good morning, everybody.  Today, we reported third quarter total revenue of $6.7 billion, an increase of 4% year-over-year. Like the overall industry, AutoNation's, both new and used vehicle unit sales were down from a year ago. However, our increase in new and used revenue per unit more than offset lower unit sales. After-Sales revenue grew by 9% year-over-year.  Customer demand and lower new vehicle inventories continue to support new vehicle margins in the third quarter. Shipments from some OEMs have modestly increased with company-wide new vehicle day supply now at 15 days. However, supply continues to remain tight for the vast majority of our brands. Used vehicle margins, while down from elevated levels a year ago where in line sequentially with second quarter of 2022. For the quarter, total gross profit increased 3% year-over-year as strength in After-Sales and CFS, combined with new PBRs more than offset unit declines for both new and used vehicles. Moving to costs. Third quarter SG&A as a percentage of gross profit remained significantly below pre-pandemic levels at 58.1%. As expected, it was slightly higher than previous quarters, reflecting increased investments in technology and new business initiatives.  Year-over-year, on a reported basis, SG&A increased by 5% with over 60% of that dollar increase resulting from the inclusion of SG&A from the franchise acquisitions we completed last year. The remaining increase was generally split between investments that we have made to support strategic initiatives and inflationary pressures. Reported net income for the quarter was $353 million, or $6.31 per share. Adjusted EPS of $6 was a record for the third quarter and a 17% increase compared to EPS of $5.12 a year ago. The adjustments to EPS include the gain on sale from three stores that we divested during the quarter that were part of our overall portfolio management strategy following the Peacock and Priority 1 acquisitions. Our operating performance and cash flow generation continues to remain very strong with cash from operations totaling more than $1.4 billion for the nine months of this year. This performance continues to provide us with significant capacity to deploy capital to and into our businesses as well as return capital to our shareholders As Mike mentioned, we completed the CIG Financial acquisition at the start of this month. CIG will be reflected in our financial results starting in the fourth quarter. Under current accounting rules, we will recognize a non-cash one-time charge during the fourth quarter for the lifetime expected losses of the acquired portfolio under the CECL accounting standard. Going forward, as we grow the business, ongoing CECL adjustments will impact our reported results for this business line. However, we do not expect this to have a material impact to our near-term results. We also continue to invest capital to grow our business with the expansion of AutoNation USA. As Mike mentioned, we opened our twelfth store in Kennesaw, Georgia during the quarter. The pace of store openings has been impacted by the construction environment, and we have two dozen facilities currently under development as we continue to move towards our longer-term goal of over 130 stores.  We also continue to repurchase our own shares. During the quarter, we purchased 3.8 millions hares or 7% of the shares outstanding for an aggregate purchase price of $428 million. Share repurchases continued in October, and as of October 25, there were approximately 50 million shares outstanding. Today, we also announced an additional $1 billion of share repurchase authorization, bringing our current authorization to $1.4 billion. We ended the third quarter with total liquidity of approximately $2.2 billion. Our covenant leverage ratio of debt-to-EBITDA of 1.5x remains well below our historical 2x to 3x range. Looking ahead, we will continue to focus on operational excellence and disciplined capital allocation to drive long-term shareholder value. With that, I will turn the call back over to Mike.
Mike Manley: Yeah. Thank you, Joe. Just quickly before we open up for questions, I just want to say a few words regarding Paritonean, which, as everybody knows, unfortunately, may landfall as a Category 4 hurricane in Southwest Florida in late September. And well, we didn't really sustain significant property damage, nothing was more heart-wrenching really for us than the stories coming from the communities and how many associates, frankly, who lived in the past, who lost homes, vehicles, power, water and obviously, in some tragic instances much more.  I do just want to say thank you to our team members across Florida and other regions who, as they've always done, just jumped in to help provide critical essentials, which range from water, hot meals, clothing, temporary housing. And since I've been in the group, I've talked a little bit about the way this group gets involved in their communities, whether it's through the drive-in initiatives, which are really truly grassroots and associate-driven. But again, the way that associates within AutoNation particularly in Florida responded is another very proud moment for me. So before we get into Q&A, I did just want to say thank you to everybody again, and still a lot more work to do. So thank you.  And with that, Joe, if you're okay, here are some questions, Joe. 
Joe Lower: We're ready.
Operator: [Operator Instructions] And our first question today comes from John Murphy of Bank of America. John, go ahead. You're line is open 
John Murphy: Good morning, guys. Mike, I just got a first question. So the elephant in the room here is that there's not enough inventory and your partners at the automaker side are having a tough time ramping up. So I'm just curious how you -- that's obviously depressing new vehicle sales to some degree. But when do you see inventory normalizing, if at all, sort of what are the levels? And what is sort of a quality of that, when do you think GPUs normalize on the new vehicle side? And what does that normalization mean or levels if you could venture a guess.
Mike Manley: Yes. Good morning, John. Why didn't you start me with an easy one, right? So when I stand back and think about it, I think obviously, multiple moving pieces, and it's interesting, isn't it? There's some parts of the industry, you'd say is really recessionary levels, which is our new vehicle volume. And although we talked in the past about the SAAR actually being a reflection of supply, what time does it begin to shift over to be demand-driven again. And I think as we get into next year, we're going to see that progressively happen as I think supply chains or chips begin to get diverted back to automotive.  But the real question is, are we going to continue to see a balance that enables reasonable margins, both for us and the OEMs or will we return to a situation that we saw post 2019 where inventory levels significantly were elevated compared to demand, and therefore, you saw as a result of that, the margins that were not just with us, but also with the OEMs and it's a difficult question to answer. When we talk to OEMs, what is clear is they recognize that their improved margins are something that they are enjoying. They recognize that the balance of supply and demand is a good thing for them, a good thing for retailers and also, frankly, a good thing for customers because of the consequential impacts on residual values.  So when we say return to normal, I frankly don't think margins will return to pre-2020 levels because I do believe that we are going to see discipline in the inventory levels. And one of the reasons I believe that is, if you think about the transition the OEMs are going to go through over the coming years, they're going to have enough margin pressures from the cost of electrification and the transition to want to avoid one that can be avoided and not self-inflicted on themselves and on us. And I think that when they talk about, they recognize inventory levels is something that if balanced properly can relieve pressure on margins, not add to the pressure of the transition that they're going to see. So I think you will see some mitigation in margins as we get middle to end of next year.  But I think they're still going to remain healthy and elevated because I do believe you will see balance. So that's my current view.
John Murphy: Yeah. No, that's incredibly helpful. And just a second question around share count, down over 40% since the end of 2019 or pre-pandemic. You got a big authorization out there at $1 billion. I mean, I would imagine you keep going on this, but I mean relative to other opportunities on AutoNation USA and other stuff that you're working on internally in CIG. I mean how do you think about sort of cap allocation and where this amazing sort of reduction in share count will go or continue to go relative to those other incremental investments?
Mike Manley: I'll answer first and then Joe can correct the mistake in what I say. But -- you're going to get the stock answer, and that is every management team believes that they're allocating capital in the most appropriate way for their shareholders. We try to be very disciplined in trying to evaluate the best use of capital. We think that values of assets in the marketplace have been elevated and will, over time, come back down and therefore, represent good value. Organic growth, such as AutoNation USA continues to be fully funded. That's funded ahead of many of the other investments that we have made and will make. But investment in ourselves and therefore, buying back our shares has represented in the market with the pressure we have seen across the segment, a great investment for us and a very investment for our shareholders. And the authorization we asked was really to maintain maximum flexibility as we go through the balance of this year and get into next year. That flexibility does not mean to say that we will exhaust the authorizations that we have. But it's important for us as a management team to have that flexibility in the Board endorsed, so that we can continue to assess opportunities because you will see moves as we get into next year where different types of assets become very attractive and we make moves on those rather than just purely share repurchases.  So again, in our view, it's a balanced approach with the shareholder at mind.
Joe Lower: And I would only add, Mike, I think nailed it. But I would only add kind of from the perspective that it starts with extremely strong cash flow and a very strong balance sheet. So as you look historically through any economic scenario, we've continued to generate positive cash flow, which gives us tremendous capacity to deploy it across a number of fronts. And the point that it's probably pretty obvious to you all is from a relative valuation standpoint, our stock today is incredibly compelling. And so as we look at it from a return basis, which is the fundamental metric that we use, share repurchases continue to remain very attractive. As we also look at other alternatives like AN USA and others to continue to reposition the business. So I think Mike and I on the same page. It starts with a lot of capacity and a strong cash flow and a balanced approach to deploy the capital.
John Murphy: Yeah. I would absolutely agree with you on the shares. Just to follow-up on that. On the CIG, I mean how much capital to get poured into that? And then I'll just pass it on. I mean, how much would be needed to grow that over time? How do you think about that as far as sort of cap allocation as well because that could be a big, big business over time and draw some significant capital, but maybe not.
Joe Lower: Well, so the answer there is, as we've said many times, first of all, we're going to take a very deliberate approach. And we've talked about fall walk run, which we fully intend to do and do not anticipate it to be a significant draw on capital over the next 12 months, 18 months. But as it does so, we've already looked at various conduits and facilities that will allow us to maintain a strong investment-grade balance sheet while we continue to grow the business, which we'll continue to evaluate as we go. So I don't anticipate that being a significant draw on our capital and diluting kind of the credit metrics that we hold today.
John Murphy: Great. Thank you very much, guys.
Mike Manley: John, notwithstanding the fact as I mentioned in my -- as I mentioned in my opening comments, we're already providing financial services through CIG into AutoNation USA, which is exactly what we said we would do. The deployment and the relationship between CIG's historical employees who now obviously have associates of AutoNation and our teams in the USA stores is really excellent. And I am pleased all there 3 weeks in at how fast they have moved. And I think the flexibility that we have in terms of sources of capital and the strength of our balance sheet, means that Joe will be able to appropriately manage that going forward, as he mentioned.
John Murphy: Great. Thank you very much.
Mike Manley: Welcome.
Operator: And our next question goes to Daniel Imbro of Stephens Inc.
Daniel Imbro: Hey, good morning, guys, and thanks for taking our questions. I wanted to ask -- you talked about new, but I want to talk about the used inventory side. It looks like you guys nicely controlled that, narrowed the inventory, GPU is well controlled. I'm curious, the step down in inventory reflects more of a difficulty sourcing? Or is that more of an intentional strategic decision, Mike, by you guys to carry a leaner inventory in this falling price backdrop? And then with that, are you comfortable with where inventory is today? Or would you actually like to pull it in further just given the volatility in wholesale prices per se?
Mike Manley: So what I would tell you is I'm comfortable with the overall levels of inventory given where we're back, as I mentioned, to what I would say is more traditional partner depreciation. In fact, it's slightly elevated than we would see historically. And that is what's happening in the wholesale market. It hasn't fully feel free on the retail market. But as we all know in our business, your used inventory can be one of your best assets, but it also can bite you. So having a day supply keeps flexibility. I would say I would prefer a slightly better mix because when I think about used vehicle inventory, we break it down into the categories we talked about, under 20,000, 20,000 to 40,000 and 40,000 plus. And each of those categories, obviously, have different turn rates as you would expect. We are short on what I would call really good quality under $20,000 priced vehicles. And notwithstanding the fact that they're a focus for us and We Buy Your Car teams, the reality is that you don't want to be buying too deep because you end up buying bad inventory that frankly, costs way too much to get prepared for the right quality to retail.  So I would like to see some improvement in that inventory. Turn rates in that segment for us are very high. But overall, at 30 days, I'm comfortable going into the end of the year. And I think it gives us the flexibility. But frankly, it's something that we need to watch carefully because, as I mentioned, wholesale prices really haven't completely yet come through into retail prices. That will happen. And when it happens, it will happen quickly. So our teams are very cognizant of that.
Daniel Imbro: Got it. That's helpful. And then, Joe, one on F&I. Same-store F&I per unit continued to step-up, and it's actually a bit better than some of your peers this quarter. Just specifically within that line, is it higher loan value? Is it product penetration? And what's driving that up? And then how does that change over the next 12 months as maybe consumers budget face pressure, higher rates limit that monthly budget? Just what's the kind of --what's driving F&I per unit? And then what's kind of that outlook because it continues to go up.
Joe Lower: Yes. So it's a coin -- let me try to answer that on a couple of fronts. So first and foremost, it's first, a improvement in penetration. So our penetration continues to improve. And I think as we mentioned before, 70% plus of our F&I is associated with product rather than financing. Financing rates have gone up slightly, which has resulted in a slight increase in payment. And obviously, the slight increase in prices has also benefited.  But what I'd point out, if you look at CFS historically, and we've looked all the way back through '08, '09, we've never seen that materially drop, frankly, drop at all, and it's continued to be a source of strength as I believe people fundamentally believe in the value of the products that we're offering. And so we don't anticipate despite interest rates are being a adverse impact to our CFS efforts going forward, and we clearly are not seeing that today in the business.
Daniel Imbro: Got it. And then last one for me, just to clarify. You talked a little bit about the storm response by the team, but -- and the lack of cost, were there any lost selling days or any other impacts on the results from Hurricane Ian towards the end of the quarter?
Mike Manley: That was in -- I mean, clearly, there was an impact because when you have a large part of your business in the state that's affected and you get the complete uncertainty really that happens as a hurricane approaches, it obviously causes people to focus on more important things than immediately buying a vehicle. So there is an impact. But frankly, there's nothing that Joe and I felt was worthwhile pointing out that there were some costs in the business. Some potential loss of revenue. But the important thing, as I mentioned before, was make sure the communities get back on their feet. So nothing that we're interested in reporting.
Daniel Imbro: Great. I appreciate all the color. And best of luck through year end. 
Mike Manley: Thank you.
Operator: And our next question goes to Bret Jordan of Jefferies. Bret, please go ahead. You're line is open.
Bret Jordan: Hey, good morning, guys. Following up on that question on used days sales and inventory, could you talk about how you see the cadence of used vehicle values. I know obviously softening, but I think the Manheim economist is thinking that they stand on absolute high level. Do you think we are going back to sort of a used pricing environment looks more like pre-COVID or are we forever higher?
Mike Manley: Again, it sounds a supply and demand question, isn't it? And I think what -- because we've seen prolonged period of new vehicle volumes remaining low, the reality is that inventory levels in -- that will impact inventory levels in used and ultimately, it will maintain elevated used values, I think, for a period of time. But I think we're coming down. We are coming off of -- certainly our analysis shows that we are coming off of the high values that we saw before. But interestingly, my view on the used market really is that you don't see a material change apart from a timing impact on margins that are retained. Used vehicles, unlike new vehicles where you can see dramatic shifts in margin depending on the dynamics present, usually, you tend not to see that. You see, obviously, margin changes. But retail moves with a slight delay in sync with wholesale in my experience. So I think you will see the short answer, Bret, apologies as I think you will see elevated prices. I think they have mitigated from that peak. We just need to make sure that as we see normal levels and maybe slightly elevated levels of depreciation come in, that we manage our used inventory appropriately.
Bret Jordan: Okay. And then F&I question. Obviously, the FTC has made some statements recently or proposals. How do you see that impacting the ability to sell? And the 70% of your mix that's product, are any of those addressed by the FTC? And I guess from a record-keeping standpoint, obviously, you're not taking advantage of the consumer, but does it make it more expensive in the F&I business to have a record requirement like they're proposing?
Mike Manley: I think -- I mean, my view, obviously, we as many others have had the opportunity to comment and we've submitted our comments on this. And all of us are in favor of transparency. Frankly, we have been a proponent of transparency anyway, just good business. So from that point of view, now issues, what worries me, frankly, is we just need to make sure that what we're not going to do is significantly impact consumer convenience.  I mean, there will come a burden. The burden for us, clearly, we'll deal with it whatever the result is. But I just need to make -- I just would -- we would want to make sure that the level of transparency that is already there is reflected in whatever the decision is, and we don't overly burden the consumer as a result of this, but we don't anticipate a material change to our performance in this area. And obviously, we will comply with whatever is the result. But -- and just to reemphasize, our practices are as transparent as they possibly can be, and we try and make the process as seamless as it can be. And I think it's a balance that hopefully will be the result of it.
Bret Jordan: Great. Thank you.
Operator: And the next question goes to Rajat Gupta of J.P. Morgan. Rajat, please go ahead. You're line is open.
Rajat Gupta: Great. Thanks for taking the question. Just wanted to get an update or a better sense of normalized SG&A to gross. And any near-term or 2023 guide both if you can provide in a scenario where used car GPUs are already on their way back to normal. I mean in a scenario where new car GPUs also move back to normal and you're in a recession environment where volumes for the industry do not grow next year. In case that turns out to be true, is there a threshold of SG&A to growth that you believe the business will not exceed, given all the changes that have happened and the productivity initiatives that are in place? And can we continue to expect further deleverage as well in such a scenario, if you're already starting to take any cost actions today? Thanks.
Joe Lower: Thanks, Rajat. So at the end of my comments, I'll actually give you a number, which I know what you want, but I'm going to make you endure kind of my perspective on this because we talked about it a lot. SG&A and cost is not -- it is a journey, right? It's not a destination. This is not a one-and-done exercise. So if you take a step back, we fundamentally changed the cost structure over the last 2.5 years, whether it was through the selling and service organizations, whether it was advertising and marketing, whether it was the administrative back-office functions. And we've maintained that discipline with on average, less fewer than 10%. We have about 10% reductions across the workforce in most of our functions. We'll be able to maintain that through discipline and the use of technology and process improvement.  So as we move forward, I mean there's really kind of three drivers that we're conflicting, right? We have the inflationary dynamics. We have investments that we feel we need to make to position ourselves for the future. That's both in technology and capabilities. And then as you mentioned, we have this relatively high PVR environment. And so for us, it's a matter of continually embracing ways to take out this cost. In the stores, we've deployed a new CRM system and then be finally deployed by the end of this year, that puts a much more usable data in the hands of our sales and service associates. We have deployed Customer 360, which we've talked about in the past, which is our proprietary data and customer mining tool that allows for me or us to be more efficient and to serve our customers more effectively, right? We're deploying technology in our digital storefront. We're using data and data analytics to more effectively acquire, price and place used vehicles, and we're continuing to drive efficiencies through our shared service center, through process and technology improvement. So it's a long-winded answer to say. It's a continued journey in trying to mitigate the pressures we face. And our goal is to maintain SG&A as a percentage growth in the low 60% as we continue through the cycle. And it's going to be the result of that continued focus on cost discipline that will enable it. Sorry about that.
Rajat Gupta: Got it. Thanks for the color. So the low 60s percent, do you think you probably exceed that in the near-term before you get back there? Or it probably doesn't go higher than that in the foreseeable future?
Joe Lower: In the immediate near-term, I think we're going to be in that and about where we're at today. I think longer term, again, we'll just continue to kind of balance the pressures I mentioned against the mitigations that we will continue to deploy.
Mike Manley: So just a quick comment from me, Joe. Rajat, the other thing that I think we've talked about before you need to recognize is how much of the SG&A in our business is actually variable. We have a high percentage of variable SG&A, which, to a large extent, self-set depending on the economic conditions of the organization. So that also helps the overall control of that percentage.
Rajat Gupta: Got it. Got it. That's good. Maybe just on the long-term outlook, I mean, Joe, I know we spoke like back in June and on investor call, you mentioned that you would expect 2025 EPS for the company higher than what's perceived to be peak earnings in 2022 and the current run rate. Curious like if that thought process still holds, given how the macro has changed? And what you're seeing maybe in terms of like GPUs or maybe potential moderation going forward? And just a quick comment on that would be helpful. Thanks.
Joe Lower: I think from the context that we were talking about the relative impact of new PVRs as much as anything, and I was talking about the other drivers of our business that continues to perform extremely well, kind of even if you take out the effect of new PVR. So I don't have a perspective per se at this point that I'm going to say 2025. What I do believe though is, again, as we talked about, if you look at the elements like after sales, if you look at CFS, if you look at the changes we've taken to the cost structure, over time, I think those are significant mitigants and offsets to the new PVR environment that we're currently experiencing and provide us a very stable base of earnings going forward.
Mike Manley: I mean obviously fascinating discussion. Fascinated by the discussion about PVRs and what they will return to. I think at the end of the day, there are many reasons why PVRs will remain above the levels we saw in 2018, 2019. But notwithstanding that, by the way, the current style we're in, it's still below 2008, right? If I remember well, we were nearly $14 million signed in 2008, we said it was $13.5 million. So there's a lot of dynamics that will play out. But I think making sure the business is underpinned by more controllable revenue and growth, which is for us After-Sales. And we've shown that we can consistently improve that as well as the ongoing control on expenses, I think, is really a good buffer against what may come in'23, '24.
Rajat Gupta: That's clear. Thanks a lot for all the color and good luck. 
Operator: [Operator Instructions] Our next question goes to Colin Langan of Wells Fargo. Colin, please go ahead. Your line open.
Unidentified Analyst: Hi. This is Tim actually on for Colin. Just a quick question first on regarding pre-sale levels of vehicles at your company. I know you guys gave some details about that last quarter and the quarter prior. So curious if you could provide any further update there.
Mike Manley: Yes. So this will be a test of my memory. What we said on pre-sales were that we were -- we had significant levels of pre-sales, something like 60% of our luxury premium pre-sales of supply from something like 50% for our imports and our domestic. As we said today, I would say across the board, it's now between 45% and 50%. So slightly lower than we saw in the middle of the year, down by probably 10 percentage points. And I would say, still more pre-sold in luxury premium, but probably about 10% down from where we saw the mid-peak. Is that...
Joe Lower: 12%.
Mike Manley: Thanks, Joe. So Tim, that's kind of where we sit today. Still very high elevated turn rates and obviously of not just lease products but also iconic products basically sold out. The demand for those products really is still very significant.
Unidentified Analyst: Okay. Great. No. That's really great to hear. And then just one quick follow-up Just wondering in terms of as investors are looking at prospectively recession risks on the horizon and looking at potentially a down case scenario. What are you thinking about kind of your used business in terms of GPUs, their sort of prices normalize?
Mike Manley: I told a bit about that used GPUs. And again, I will say this, and I will reiterate, this is my 30-years experience of selling used cars in one formal fashion. The dynamic between the wholesale market and the retail market, there may be a time delay, but ultimately, they feed through to each other. The margin element remains broadly the same in terms of the absolute magnitude of used margins from my point of view. The time that it becomes suppressed is when -- and it happened periodically even in the best run businesses when you get an imbalance between how you've managed your inventory -- used inventory, the turn rate and the quality of inventory that you see. So that's one of the reasons why we talk about and others, frankly, talk about the fact that we're seeing slightly enhanced depreciation levels. They're normal for this type of year, but we're coming off elevated wholesale prices. That will feed its way -- hasn't completely fed its way through to retail prices yet, but it will do, which is why there's a lot of focus at this moment in time on maintaining something around a 30-day supply so that we can very flexibly work our way through any inventory pressures that come and restock with vehicles at the appropriate wholesale price. So probably a fairly boring answer to the question, but that's one of the markets that tends to have from a margin point of view, less massive fluctuations than you see in other areas.
Unidentified Analyst: Okay, great. Thank you so much.
Mike Manley: Thanks, Tim.
Operator: Thank you. There are no further questions at this time. Mr. Manley, I'll turn the call back over to you.
Mike Manley: Thank you. Again, just thanks for taking the time to come on the call. I know it's an incredibly busy reporting season. We're pleased that you shared your time with us this morning. Hopefully, you got benefit from the call, and we'll see you on the next one. Thank you, everyone.
Operator: Thank you. This concludes today's conference call. Thank you all for joining. You may now disconnect your lines.